Operator: Good morning everyone, and welcome to the National Bank Holdings Corporation 2019 Second Quarter Earnings Call. My name is Simon, and I will be your conference operator today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session following the presentation. As a reminder, this conference is being recorded for replay purposes. I would like to remind you that this conference call will contain forward-looking statements, including statements regarding the Company's loans and loan growth, deposits, strategic capital, potential income streams, gross margin, taxes and non-interest expense. Actual results could differ materially from those discussed today. These forward-looking statements are subject to risks, uncertainties and other factors, which are disclosed in more detail in the Company's most recent filings with the U.S. Securities and Exchange Commission. These statements speak only as of the date of this call and National Bank Holdings Corporation undertakes no obligation to update or revise these statements. It is now my pleasure to turn the call over and introduce National Bank Holdings Corporation's Chairman, President and CEO Mr. Tim Laney.
Tim Laney: Thanks, Simon. Good morning and thank you for joining National Bank Holdings second quarter 2019 earnings call. I have with me, our Chief Financial Officer, Aldis Birkans; and Rick Newfield, our Chief Risk Management Officer. We're pleased to report another record quarter of earnings on the back of strong earning assets growth and solid transaction deposit growth. It's noteworthy that our non-interest-bearing deposits grew at an annualized rate of 17.2% during the quarter. Our focus on earning the full banking relationships of our clients is paying dividends. Our markets continue to perform better than the national averages on virtually every measure and our teams continue to capture our fair share of the growth. Now, before turning the call over to Aldis, I'll point out that our team delivered a record level of fee income during the quarter and that our annualized net charge-offs on originated and acquired loans were only two basis points. Aldis?
Aldis Birkans: Thank you, Tim and good morning. As you saw in yesterday's release, we reported record quarterly net income of $20.3 million, and record earnings per diluted share of $0.64 for the second quarter. This is an increase of $1.4 million or 7.2% on a linked-quarter basis and a 15.8% increase over the second quarter of 2018. This quarter's financial results were driven by 10.7% annualized growth in our earnings assets, reflecting the steady progress on our loan and deposit growth, as well as a strong quarter from our residential mortgage group. In my following comments, I will give a more detailed update on the results for the quarter and an update on our guidance for the rest of the year. Led by strong commercial loan growth of 18.5% annualized total originated and acquired loans outstanding grew a solid 8.3% annualized this quarter. New loan originations were $290.5 million for the quarter and our year-to-date loan balances have grown 12.4% annualized. For the first six months of 2019, we saw strong commercial loan demand as 68.5% of 2019's loan production was in commercial loans. This has been driven by a growing demand for working capital and other – another investment activity from businesses within our footprint. Our pipeline remains strong and the local economies continue to perform better than the national averages. Based on this momentum, we believe we will achieve a 10% originated and acquired loan balance growth for the full year 2019. This is on track with the guidance we shared last quarter. On the other side of the balance sheet, we continue to be pleased with the growth of our core relationship deposits. Average non-interest-bearing deposit balances grew 17.2% annualized on a linked quarter basis and our non-interest-bearing deposits now represent 24.9% of total deposits. Our total average transaction deposits grew 7.7% annualized and we expect this momentum to carry into the second half of 2019. As such, we are reaffirming our guidance for average transaction deposit growth in the mid single-digits for full year 2019 with time deposits staying relatively flat. The second quarter's transaction deposit cost was just 40 basis points. Coupled with the new loan originations that came on at 5.2% during the second quarter, we delivered solid net interest income growth. Our linked quarter taxable equivalent net interest income increased $1.4 million or 10.6% annualized in spite of declining market rates throughout the quarter. Fully taxable equivalent net interest margin for the quarter was 4%. If the Fed follows through with a widely expected interest rate cut at the end of July, we will experience a slight decrease in our net interest margin. As such, I will break our long-standing tradition of not incorporating any Fed rate moves into our guidance. Assuming a 25 basis point Fed funds target rate cut in July, we expect our fully taxable equivalent net interest margin to be in the mid 3.90s for the remainder of 2019. Earning assets should end the year at around $5.4 billion or at the upper end of our previous guidance. With regard to credit once again this quarter, annualized net charge-offs were a low 2 basis points. In fact the only blemish on an otherwise clean quarter from credit is a $2.4 million specific reserve we took on the loan that came over with the Peoples Bank acquisition. Unfortunately, the loan deteriorated post-acquisition and before we could move it out of the bank. Our team is working to resolve this credit. For the second half of 2019, we are expecting the provision expense to be in the range of $5 million to $6 million. During the second quarter, we also realized record non-interest income of $20.7 million which was $3.6 million higher than the first quarter of 2019. Our combined service charges and bank card fees grew a solid 7.2% linked quarter. This was driven by both the success of our teams growing core banking relationships and seasonal activity. The gain on sale of residential mortgages increased $3.5 million in the quarter driven by seasonal growth in home purchase activity which we had expected as well as pick-up in the financing activity due to lower rates. In a decreasing rate environment, we typically expect some level of earnings pick-up that comes from our residential mortgage production activity to act as a hedge to the rate impact on our net interest income and I'm glad it has proven to be the case already. Looking ahead, we project our total net interest income for the second half of 2019 to be in the $34 million to $36 million range with the third quarter being seasonally higher than the fourth. Effectively, this increases our full year non-interest income guidance by almost $2 million. Regarding expenses our second quarter's non-interest expense totaled $46.5 million and increased $2.1 million from the prior quarter. The linked quarter increase was entirely driven by the increase in the total compensation line more specifically the increase was largely given by residential mortgage commission expense. As we can -- have consistently demonstrated during prior quarters and years, we continuously focus on expense efficiencies and expect to achieve total core expenses in the $91 million to $92 million range for the second half of 2019. Additionally, on a year-to-date basis we have incurred a net $1.2 million in OREO and problem assets workout expense, which as we discussed during the last earnings call we expect to cover the OREO gains later this year. The effective tax rate for the quarter was 13.6% and included $1.3 million benefit related to stock compensation activity. Excluding this, the effective tax rate for the quarter was 19.4%. For the rest of 2019, we expect the effective tax rate to be in the previously guided 18.5% to 19.5% range. Finally, as it relates to capital, we finished the quarter with a 10.6% Tier 1 leverage capital ratio and the tangible book value per share increased to $19.83 driven by our record earnings. Tim that concludes my comments.
Tim Laney: Thank you, Aldis. Well, needless to say we are very pleased with our first six months of performance during 2019. And more important, we feel good about our momentum as we enter the third quarter. Our intense focus on earning a full relationship of our clients is producing strong results. Looking ahead, we believe we can continue to increase our return on tangible common equity while growing a safe and secure balance sheet. To be clear, we think there's a lot to like about where we're headed. And on that point, Simon, we are ready to open the call for questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Jeff Rulis with D.A. Davidson. Go ahead, your line is open.
Tim Laney: Good morning.
Unidentified Analyst: Hey guys. This is Jeff's associate actually on for him. I just was hoping you guys could kind of touch on capital plans moving forward. Are there any thoughts on M&A from either side as a buyer or seller? And have you guys just had any discussion for the kind of change on that front as far as what you're hearing internally or market chatter, just kind of revisiting that topic?
Tim Laney: Well, certainly the pace at which we're building capital is a good problem to have I guess one would say. And like a broken record, it's important to point out that we continue to embrace optionality. We like the idea of -- and the fact that we are in multiple discussions with a lot of potential partners and we'll see where some of that takes us. But as you'd seen in the past we're pretty slow and methodical when it comes to creating the kind of opportunity like you saw us create with the Peoples acquisition. I don't know Aldis is there anything else you would add?
Aldis Birkans: No.
Unidentified Analyst: Great. Thanks. And then just kind of when we're talking about fee income and the mortgage banking segment, you guys see kind of growing this above industry average expanding it platform wide potentially? And with that were salaries up due to higher mortgage production? Just kind of trying to link those questions together.
Tim Laney: Right. I'll take the first question and then maybe toss the comp expense or commission expense to Aldis. We're going to be very focused on not letting the mortgage business grow to more than, call it, 15% of our revenue. We're sensitive to taking on that kind of -- just to be frank mortgage banking multiple. What we like about what we're doing is that it's focusing on serving clients in the markets where we do business. We also like what we're seeing because in some ways -- and Aldis you may want to speak to this -- we can almost view the refinance revenue that we're seeing right now with rates low as a hedge against pressure that it might put on other parts of the balance sheet. So I like that diversification. Aldis, as it relates to the commission expense, I think that's pretty straightforward, but I'll pass it to you.
Aldis Birkans: Yeah. Just to finish Tim's thought. We are looking -- this as a hedge as the rates -- the rate environment moves up or down to what's happening to our asset sensitivity in the balance sheet. And to Tim's point in the past -- last year, our production was 80% purchase based and only 20% refinancing. This quarter that ticked up to 75%/25% potentially moving into third quarter more closer to 30% refinancing. So that business of refinancing is picking up as the rates have fallen and are effecting as you can see this quarter as an offset to what potentially could happen with the LIBOR rates going down. On the expense side, I'll say that yeah, majority -- $1.8 million of the $2.1 million increase in our non-interest expense was going to commission and incentive base -- or related to commission and incentives.
Unidentified Analyst: Awesome. All right. And then kind of just one last one, broad picture here. How are you guys feeling about credit profile? And just broadly in the industry, is there anything you guys are hearing just kind of some more color on the credit picture?
Tim Laney: Well, certainly watching a number of these -- second quarter or reading a number of these second quarter releases from institutions has given us reason just to visit again particular sectors like agriculture. I'll remind everyone we're not a big commercial real estate player. We're now down -- in fact, we've talked a bit being under right at 100% of capital on commercial real estate versus that threshold of 300%. We actually shrank here in the first half of the year. I think we're at -- what are we 95%?
Aldis Birkans: We're 95% of risk-based capital.
Tim Laney: 95% of risk-based capital. Rick, can speak later if anyone is interested on areas like agriculture, but we feel good about that. I'll remind you that on energy, we exited that space, dismantled our team several years ago. We've got a very small tail load of business there that Rick can speak to that we feel good about. So, it's well to me while I guess a lot of folks have talked about kind of just one-off industry issues. It’s felt for the first time like we were hearing about some more systemic kind of cracks which just gives us cause to look that much harder at our stress testing to make sure we're in a position to take advantage of a down -- economic downturn should that happen. But, again, maybe we can get into some more details in some of those spaces with Rick later.
Unidentified Analyst: Awesome. Thank you so much guys. That was great color. I’ll step back now.
Tim Laney: All right. Thank you.
Operator: Your next question comes from the line of Gordon McGuire with Stephens Inc. Your line is open.
Tim Laney: Hi, Gordon
Gordon McGuire: Good morning. Maybe starting on the NIM. Aldis with the July cut, you said mid 3.90s for the rest of this year. So is it pretty fair to think about if we're assuming more than one cut this year? It's about five basis points per 25?
Aldis Birkans: I'd say five to seven basis points per 25.
Gordon McGuire: Got it. And just digging in the mechanics of that. I appreciate that you've been reducing asset sensitivity, but I was wondering if you could provide an update as far as your variable fixed mix. What loan repricing durations we're looking at? And maybe any color on floors you could give?
Aldis Birkans: Yeah. We've been adding fixed rate assets. And actually if you look at our other non-interest income fee line item this quarter was lighter because we stayed away from the swap opportunities and letting our bankers at fixed rate loans instead of variable rate loans being taxed…
Tim Laney: And remind -- and to remind everyone when we're talking about fixed kind of the…
Aldis Birkans: Yeah, three to five-year fixed rate loans obviously. We don't do 10 or 15-year fixed rate loans on balance sheet. The -- in terms of the book right now, it's approximately 48%, 49% are -- of the book is linked to either LIBOR and/or prime. Most of it is linked to the LIBOR, so we started seeing some of that rate impact in the second quarter. If you look at one-month LIBOR that compressed on average basis six basis points versus first quarter, which pleases me to look at our earning asset yield actually expanding four basis points even without headwind. So we are very happy with our teams being able to -- as I mentioned in opening remarks our new loans came out at 5.2% still accretive to the existing originated book. So that's working in our favor. And I think that's it.
Gordon McGuire: Okay. Anything on floors you can give us? Or should we think about that 48% to 49% being pretty…
Aldis Birkans: Yeah. About -- you're right. The floor set is interesting because you keep on adding floors. But the floors -- our rates are moving up or at it and the rate environment was much lower than this one. So the next 25 or 50 basis points really is not going to be the floor level so not benefit for us. So it -- unless we really find ourselves next year in a much lower rate environment, we can revisit the floor discussion.
Gordon McGuire: Got it. Maybe switching to the deposit side. CD costs were up call it 15 basis points this quarter. I was wondering if you could give any color on what you're -- what deposits are re-pricing at from a cost perspective and then maybe the cost of what might be maturing at this point? Just trying to think about the tail of the increases there.
Aldis Birkans: Yes. A very -- great question. So our weighted average CD cost in second quarter came on let's say around 1.5%. The reason for the increase in CD book outstanding cost of funds was because what was rolling off was at lower levels. That will continue to take place here in the third quarter. Stuff that's coming off will be in low ones. So the -- unless we see dramatic shift here in CD rates on marginal basis, we will continue seeing some drift up in CD costs in the third quarter and that should stabilize going into fourth quarter, all else equal obviously.
Gordon McGuire: Got it. That’s all I had. Thank you.
Aldis Birkans: Yeah. Thank you,
Operator: Your next question comes from the line of Chris McGratty with KBW. Your line is open.
Kelly Motta: Hi. This is actually Kelly Motta on for Chris. How’s it going?
Aldis Birkans: Hi, Kelly. Well, thank you.
Kelly Motta: Great. My first couple of questions have to do about the mix of the balance sheet. Your loan-to-deposit ratio is now up to 92% versus about 82% year-over-year. I'm wondering if you have a target of where you'd like to be here, and how you're thinking about that funding mix thing.
Aldis Birkans: Yeah. I think we still -- we've said this before, but we're very comfortable letting this next shift to mid-90s, so call it 95% give or take. We certainly don't want to become a whole self-funded bank. So going beyond 100% is something that we will look to avoid and crank up and think differently about how we grow deposits. But mid-90s, we feel very comfortable to funding this balance sheet with the -- in the markets we operate.
Tim Laney: And Kelly, this in some ways ties back to Gordon's previous question as well on CDs. I want to emphasize that we feel -- we believe that's the lever we can easily pull if we wanted to grow deposits. Our real focus obviously is on core relationship accounts, core operating accounts driving low-cost deposits that's once again a more kind of methodical approach to growing the business. But we really haven't had to pull that lever on interest bearing deposits to grow, and that's still available to us. And the good news is with the Feds moves and kind of the understanding of rates coming down, buy market coming down, we're seeing clients' expectations lower on those interest earning deposits. Aldis didn't touch on it, but we have been able to successfully begin to bring down rates in a number of those deposit interests -- deposit earning instruments that will serve us well over time. So, that's just a little more color as it relates to managing that loan-to-deposit mix.
Kelly Motta: Great. And then with the securities, those are down well to about 18% of average earning assets. How should we be thinking about where this troughs just with managing liquidity?
Aldis Birkans: Yeah. No, it's a great question. As we model liquidity. We -- I expect that we will start reinvesting the investment portfolios next year. And we'll target what -- the way we model liquidity and the minimum on balance sheet available sort of liquid assets to be modeled. We'll need it about -- that ratio to be around 15% to the total assets.
Kelly Motta: 15%. Okay, all right. Thank you. And then switching gears just wondering what you're modeling for accretable yield for the remainder of the year and how we should be thinking about it in 2020 with the implementation of CECL?
Aldis Birkans: Yeah. For the rest of year, the accretable yield from 310-30 will be between call it $5.5 million to $6 million from that book. We finished the quarter right around $60 million. I expect that will be now down in low 40s. There are several larger credits that we expect cash flow will come out of that book. Going into the next year, then -- with CECL most of these loans or almost entirely all the remaining loans are performing. So we will blend it in, in our overall loan book and it's going to continue to accrete effective yield on going forward basis.
Kelly Motta: Okay. And then, one last housekeeping item, if I could. The effective tax rate, that is on a fully taxable equivalent basis? Is that correct? Right?
Rick Newfield: Yes.
Kelly Motta: All right. Great. Thank you.
Rick Newfield: Thank you, Kelly.
Operator: Your next question comes from the line of Tim O'Brien with Sandler O'Neill + Partners. Your line is open.
Tim O'Brien: Good morning, guys.
Tim Laney: Hey, good morning.
Tim O'Brien: Tim, could you talk a little bit about the lending environment. I'm hearing from other sources a lot of discussion about intensity of competition being higher or more fierce now, across the board. And are you seeing that in your markets? It doesn't seem to affect your origination business much, but what are you sensing is going on in the market out there right now? And is it affecting your business on the margin?
Tim Laney: Well, as Aldis shared earlier, we actually were very pleased with the kind of yields, the kind of pricing we were seeing in our commercial and business banking or small business banking space, not only in the second quarter, but through the first half of the year. I think we benefit from operating in very strong markets. As you know, we've had -- in fact some of our competitors moved away to be acquired away here in the last year or so. That does occur. But I would say what's really important is, when we look at our core markets, for the most part we have rational competitors both as it relates to pricing and credit or risk management. So I think in some respects, we benefit from market tailwinds and we continue to benefit from just the growing momentum of the experience of our banking team seeking full relationships and having some success there. I don't know, Tim, if you'd like Rick -- Rick is here to speak to maybe any of the specific industries. Again, we've seen some issues pop with other institutions with agriculture and, of course, energy. But would that be helpful Tim to have Rick jump in?
Tim O'Brien: Yes. That'd be great. Love to hear that. And particularly with regard to how it affects your markets and the potential risk to local economies you operate in.
Rick Newfield: Yes. Hey, Tim. Good morning. This is Rick.
Tim O'Brien: Hi, Rick.
Rick Newfield: So let me start with that high level and maybe to further some of Tim's comments. When we talk about the markets, it's also the diversification of the economy. And as you know from day one, we've been very disciplined around our concentrations, so that we maintain that diversification, so we don't have an outsized impact if a particular sector softens. And maybe to give you a little more color on certainly an area that has seen some stress over the last several years. Probably over the last nine months or so, there have been a number of issues that some banks have reported that would be agriculture and we refer to this food and agri business, because we've had a team in place for a number of years that specializes in this area. And more than three years ago, we began selectively exiting raw crop producers and cattle operators that were concentrated and/or we could capitalize to be preemptive. Our team has been focused on larger diversified and lower-leverage operators and particularly those that are downstream from production and -- I'm sorry, from growing in production. I'll also point out, over the last 12 months we've incurred virtually no net charge-offs in agriculture, only about $18,000. So just as an example of sectors that we've been selectively exiting certain types of risk and being very thoughtful about our exposure. Maybe just one more point about how we look at concentrations, the total food and agri business is $241 million or about 5.6% of total loans.
Tim Laney: And then on a space like energy we're fortunate that Colorado has radically diversified its economy away from energy. So we really -- even in the last dramatic downturn, we concerned ourselves with the derivative impact and that -- kind of that secondary tertiary impact and didn't really see it. And then Rick you may want to speak to the – again, we dismantled our energy team several years ago that you may even want to talk about what we have specifically remaining there?
Rick Newfield : Yes. I mean, we haven't originated any new energy business I believe in well over 4 years. So again to your point Tim we just exited...
Tim Laney: Not, what we do.
Rick Newfield : Not what we do. We do have about $43 million remaining. And we have one residual problem loan that we're working to resolve it's well under $1 million. And the rest of that portfolio is stable and performing well. And I'd expect to continue to reduce that expenditure.
Tim Laney: And it's declined how much even in a...
Rick Newfield : I think $12 million year-to-date I guess. Pretty meaningful percentage now...
Tim Laney: So basically a run-down. Other industries, I mean, real estate look -- I guess, I am lairy. Because I tend to believe that that's a space that at this point in the cycle arguably could be seen as overvalued across the board. I've heard people speculate as much as 20% kind of across all sectors. So I'm happy that we're very selective that it's not an area that we're looking to grow again only 95% of risk-based capital. It just comes back to the simple idea of not having all of our eggs in one basket.
Tim O'Brien: Thanks for the color, guys. Appreciate it.
Tim Laney: Right. Hey, thank you for the questions.
Operator: Your next question comes from the line of Nathan Race with Piper Jaffray. Your line is open.
Tim Laney: Hi, Nathan.
Rick Newfield: Hi, Nathan.
Bob Shone: Good morning. Bob, on for Nate.
Tim Laney: Hi, Bob.
Rick Newfield : Hi, Bob.
Bob Shone: How are you guys doing?
Tim Laney: Good morning.
Bob Shone: I just wanted to touch -- you guys kind of talked about the lending segment, but I want to talk more about geography. Could you guys kind of give some color around where you saw growth this quarter? And -- or you may be excited about in second half 2019 and into 2020?
Tim Laney: Right. Right. Well, look it's hard to single out a particular market because we're at a point where all of our markets and our teams in those markets are performing well. We certainly are benefiting here in Colorado. Our Texas team has come on strong in Dallas and Austin. We're really pleased with our newest team in Salt Lake City and Kansas City and that broader Overland Park market we -- look we see increasing momentum and we're just -- look it's, we clearly benefit from being in a set of strong markets across the board. In terms of looking ahead to the remainder of this year, I hope what you heard Aldis say maybe I'll reemphasize it is that we're in a position of not only reaffirming our guidance at the beginning of the year, but suggesting that we think we've got a very good shot at beating that guidance. And that's both on revenue growth and expense management when it comes right down to it. So I would say, it's a combination of being in great markets and then the maturation of our teams working our relationship banking approach to capturing and retaining business. I don't know Aldis or Rick anything you would add?
Rick Newfield: Agree with what you said.
Aldis Birkans: Exactly, yes.
Tim Laney: Bob does that help or…
Bob Shone: Yes…
Tim Laney: Sorry. The one question we didn't answer, as you asked about next year and I'm -- I mean, I'm just not ready to get that far out over my skis, but I appreciate the question.
Bob Shone: No. That's just fine. And then one more from me, regarding the credit that you took $2.4 million reserve on, could you give us any more color around how big the relationship is? And what industry it is in?
Rick Newfield: Sure Bob. This is Rick. So I mean -- let me start just to be clear and maybe I've alluded to this we don't see any systematic issues, see this as a one-off. It's a C&I loan that came over with the Peoples acquisition with exposure now to Europe specific question around $10 million. Our desire would have been to get this loan off the books before it deteriorated. One thing that maybe some of your colleagues or counterparts on the phone know the good news is, we have a special assets team that has a terrific track record of working through acquired another problem loans with solid recoveries.
Aldis Birkans: Yes. I'll just jump in here and remind that when we acquired Peoples Bank at the time we marked that book at $9.8 million. This loan was accruing and performing loan at that time, so there was nothing specific allocated to this loan. But as of end of this quarter, we had $6.8 million so that mark's still remaining and still yet to be accrued to our financials and we view that as basically a protection against this loan and anything else that may come on.
Tim Laney: And maybe Aldis just one other point on that is when I look at the rest of the acquired Peoples loans and those upfront marks, we work through problems at better than the original expectations. Again back to your point about -- cover a good point.
Bob Shone: Awesome. Thank you. I will step back.
Tim Laney: Yes, you bet. Thank you, Bob. Appreciate the question.
Operator: Your next question comes from the line of Gordon McGuire with Stephens Inc. Your line is open.
Gordon McGuire: Thanks for taking another question. Aldis the fee income guidance for the back half of the year, it was $34 million to $36 million. Did I get that correctly?
Aldis Birkans: Yes sir.
Gordon McGuire: So that seemed a little bit light to me. Running year-to-date it seems like just a few matters that the year-to-date you should be getting round about $75.5 million. Is there something that I'm missing?
Tim Laney: Gordon I just - I'm laughing. This is Tim. I'm laughing because I said the same thing to my teams. Look -- so a couple of things. One is, we are starting quite well off in mortgage production and gained some sale here in July. How long that lasts it's hard to predict, so we're trying to be realistic relatively looking how year ended last year in fourth quarter?
Rick Newfield: I keep hearing the word tempered.
Aldis Birkans: The other component that we're not counting that we did benefit in the first half of the year, we're not counting on those swap fees in the second half of the year and that does add up to $1 million or so.
Tim Laney: And that is real. I mean the swap fees would -- that's back to repositioning balance sheet, that's the impact. But, look, and at this point Gordon, I think your question is insightful, not only are we seeing as we march into the third quarter better-than-expected, fee income coming out of residential banking, we're also seeing continued pickup in our fee income out of our consumer bank in general. And so, I guess if there's, a temperance it's been somewhat concerned about just the general volatility in the market and where the economy is going. But my goodness based on what I'm seeing at least third-quarter-to-date. I'm feeling pretty good about our ability to beat that number. Now Aldis is cringing, I wish you could see him. But I'll leave it at that.
Gordon McGuire: Okay. So there wasn't anything unusual this quarter in the mortgage, like unusual pricing or anything that was...
Aldis Birkans: No. No, no it's all volume-driven pickup.
Gordon McGuire: Okay. Great, thank you.
Aldis Birkans: Yeah. Thanks for the question.
Operator: Your next question comes from the line of Tim O'Brien with Sandler O'Neill Partners. Your line is open.
Tim O'Brien: Hey! one follow-on. Just you guys mentioned adding or -- low swap fees this quarter. So how much in additional fixed income loans, did that add to the portfolio in the quarter? Is it just the CRE piece, $41 million?
Aldis Birkans: No. No, no it -- I would characterize this in the past and quarters before and year -- last year we were adding about 65% to 70% of new loan originations would have been in variable rate loans.
Tim O'Brien: Yeah.
Aldis Birkans: This quarter it was around 50%, 55%. 50% to 55% was variable rate.
Tim O'Brien: Do you know the dollar amount? Top of mind the incremental dollar amount?
Tim Laney: We can follow back up with you Tim.
Aldis Birkans: It'd be about $150 million.
Tim Laney: Yeah.
Tim O'Brien: $150 million or $115 million?
Aldis Birkans: $150 million right, we had about $290 million loan production this quarter half of that was fixed half fixed, half of its variable.
Tim O'Brien: Awesome, thanks for the color, I appreciate it.
Aldis Birkans: You're welcome.
Operator: I'm showing we have no further questions at this time. I will now turn the call back to Mr. Laney for his closing remarks.
Tim Laney: All right, and before I close I think Aldis had one other follow-up item.
Aldis Birkans: Yeah. And Kelly, I just wanted to make sure that I answered your question right in terms of the tax equivalent more -- effective tax rate guidance. So, what we guide to is tax expense line item that does -- that excludes the tax equivalent adjustments. So it's a tax -- income tax expense item divided by income tax before -- sorry income before income taxes. So, it excludes the tax equivalent. I just want to make sure, make sure that I answered that question properly.
Tim Laney: All right, thank you Aldis I appreciate that. As I said before, we really are pleased with our first six months of performance during this year. Equally important, we really feel good about our momentum, as we move into the second half of the year. And we really do believe that there's a lot to like about where we're headed. So thank you for your interest. And have a good day. Thanks.
Operator: And this concludes today's conference call. If you would like to listen to the telephone replay of this call, it will be available beginning in approximately two hours and will run through August 6, 2019, by dialing (855)-859-2056 or (404)-537-3406 and referencing the conference ID of 7492217. The earnings release and online replay of this call will also be available on the Company's website on the Investor Relations page. Thank you very much and have a great day. You may now disconnect.